Operator: Good morning. My name is Seth and I will be your conference facilitator today. Thank you for standing by and welcome to the Janus Henderson Group First Quarter 2022 Results Briefing.  All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer period. In the interest of time, questions will be limited to one initial and one follow-up question.  In today's conference call, certain matters discussed may constitute forward-looking statements. Actual results could differ materially from those projected in forward-looking statements due to a number of factors including, but not limited to, those described in the Forward-Looking Statements and Risk Factors sections of the company's most recent Form 10-K and other more recent filings made with the SEC. Janus Henderson assumes no obligation to update any forward-looking statements made during the call. Thank you.  Now it is my pleasure to introduce Roger Thompson, Interim Chief Executive Officer and Chief Financial Officer of Janus Henderson. Mr. Thompson, you may begin your conference.
Roger Thompson: Good morning and welcome everyone to the first quarter 2022 earnings call for Janus Henderson Group. I'm Roger Thompson, CFO and Interim CEO.  Before I discuss our quarterly results, I'd like to start by giving you a few updates. First, as we announced back in late March, we're extremely pleased with Ali Dibadj has been named as the next CEO of Janus Henderson. Ali is highly regarded and well respected in the asset management industry, and the feedback we've received both internally and externally has been overwhelmingly enthusiastic and positive.  I've had the chance myself to meet with Ali and I echo that feedback. I, along with the rest of the executive committee, are excited to work with Ali, and we look forward to meeting with clients and shareholders and employees when he begins as CEO next month.  As we transition to a new CEO, it's important to emphasize that, in the interim, the firm continues to operate as business as usual. And we continue to make progress in delivering our strategic initiatives.  In that context, I'm pleased to announce that we have completed the previously announced sale of Intech as at the 31st of March. The closing of the transaction was a combination of the efforts by dedicated teams on both sides, and we wish Intech all the very best for the future.  We also continue to grow our active ETF franchise, with assets now exceeding $5 billion. During the quarter, we launched two ETFs, a BBB CLO ETF in the US, further capitalizing on the back of the success of our AAA CLO ETF, which raised $800 million in the first quarter and now has $1.1 billion of AUM. And in Australia, we launched a Net Zero Transition Resources ETF, which was also one of the five US sustainable ETFs that we launched in September 2021.  With that, let me turn into the quarterly results starting on slide 3. Our investment performance remained solid with 62% of our assets beating their respective benchmarks over three years, which is up compared to 58% of assets last quarter.  Assets under management are down due to the closing of the Intech transaction at the end of March, the effects of markets and net outflows. Excluding Intech, net outflows are disappointing at $6.2 billion, driven primarily by outflows in equities and the institutional redemption in the balanced strategy that we communicated to you all in the last quarter's earnings call. Our financial results remain solid, but are down compared to the prior quarter, primarily from weaker markets and lower performance fees.  And finally, we remain committed to returning excess cash to shareholders. In the quarter, we completed $43 million of share buybacks and the board has authorized a new buyback of $200 million to be completed prior to the 2023 AGM.  Additionally, given strong earnings growth in 2021 and our progressive dividend policy, we are pleased to announce $0.01 increase in the quarterly dividend to $0.39 per share.  Moving to slide 4 and a look at investment performance. While one-year investment performance reflects the very challenging environment, long-term investment performance remains solid with 62% and 74% of assets beating their respective benchmarks over a three and five-year time period as at the 31st of March.  Performance of multi-asset alternatives is excellent across all time periods. Equity is more mixed, but with continued improvement in strategies such as US mid cap growth, which is now above benchmark over all periods presented. And fixed income investment performance is doing well despite the extremely challenging quarter for bonds in the first quarter.  Switching to relative investment performance compared to peers, this remains solid, with over 60% of AUM representing the top two Morningstar quartiles over all periods.  Slide 5 shows company flows excluding Intech. For the quarter, net outflows excluding Intech was $6.2 billion compared to $1 billion last quarter. Over the next few slides, I'll provide insight into the outflows. But in summary, the quarter saw continued outflows in equities, coupled with the outflow in the multi-asset capability previously disclosed.  Let's turn to slide 6, which shows the breakdown of flows by client type. Net outflows for intermediary were $1.7 billion. By region, intermediary flows the negative in the US, EMEA and Latin America and positive in Asia Pacific. In the US, the outflows were dominated by our US mid and mid cap growth strategies due to the performance challenges we saw in 2020. But with the strongly improving performance that I previously mentioned, we're optimistic that we're beginning to see the pace of outflows slowing. In looking at the first quarter highlights in the US intermediary channel, the SMA channel had $800 million of net inflows coming primarily from the concentrated growth strategy. And net inflows into ETFs were $800 million, with the majority coming from the AAA CLO product. As I mentioned, our ETF business is now over $5 billion in assets and we're well positioned with our AAA and BBB CLO strategies in a rising rate environment.  Similar to trends across the industry, EMEA growth inflows slowed compared to the fourth quarter due to a risk-off sentiment caused by the Russian invasion of Ukraine, inflation and tightening monetary policy.  Institutional outflows were $3.6 billion, which was primarily the result of the $2.2 billion redemption of the balanced strategy. The pipeline has broad and diverse range of opportunities, where results will be lumpy quarter to quarter, as we saw this quarter.  Finally, net outflows for the self-directed channel, which includes direct and supermarket investors was $900 million.  Slide 7 shows the breakdown of flows in the quarter by capability. Equity net outflows for the first quarter were $3.8 billion compared to $3.2 billion in the prior quarter. The outflows were primarily driven by US mid and mid cap growth strategies in US retail and institutional. Areas of flow strength included US concentrated growth, global equity income, and the biotech innovation hedge fund. Flows into fixed income were flat in the quarter, which is a good result against the tough backdrop for bonds during the quarter. In the US, our fixed income strategies captured retail market share, and were led by inflows into the fixed income ETF strategies.  Total net outflows for multi-asset were $2.2 billion, entirely made up by the one-off redemption in the balanced strategy that I told you about in the last quarter. Alternative flows were negative $200 million for the quarter.  Before moving on, I do want to call out two redemptions that will impact 2022 flows. First, a longstanding European insurance client has made the decision to bring the management of a sterling buy and maintain credit mandate in-house. This was unrelated to either Janus Henderson's investment performance or client service and due to an internal decision to build their own investment management capabilities to support their growth. The mandate was low fee with total AUM of approximately $7.3 billion and $2 billion has already been redeemed in April. The balance will redeem over the remainder of 2022 in tranches yet to be confirmed.  Secondly, we recently announced the sale of our UK Property Fund, which will result in an estimated $1.4 billion outflow in the second quarter. Moving on to the financials. Slide 8 is our standard presentation of the US GAAP statement of income. Slide 9 is a look at the summary financial results.  Before diving into the financial results, note that the sale of Intech closed on the 31st of March. Therefore, Intech's financials are included in the entire quarter. However, as I stated last quarter, Intech's impact to the consolidated results is not meaningful.  Adjusted first quarter financial results are down compared to the prior quarter and prior year, primarily from lower average AUM and performance fees. Adjusted revenue in the quarter decreased 13% compared to the prior quarter due to lower average AUM, performance fees and fewer calendar days.  Adjusted operating income in the first quarter of $180 million was down 25% over the prior quarter, principally driven by lower revenue. First quarter adjusted operating margin was 37.4%.  Before moving on, I wanted to clarify the difference this quarter between US GAAP and adjusted diluted EPS. The primary difference was a $33 million non-cash tax adjustment on the impairment of goodwill that we recognized in 2020, with other small adjustments, including the loss on the sale of Intech and LTI accelerations on departed executives.  On slide 10, we've outlined the revenue drivers for the quarter. Net management fee margin for the first quarter declined to 46.8 basis points compared to 47 basis points in the prior quarter. However, it's flat to a year ago, highlighting the strength and stability of our fee rate. The quarterly decline is due to the mix shift resulting from weaker markets. Excluding Intech, the net management fee margin for the first quarter was 49.4 basis points.  First quarter performance fees were lower compared to the prior quarter due to US mutual funds and seasonally high performance fees in segregated mandates in the fourth quarter.  Regarding the US mutual fund performance fees, the first quarter was negative $14 million compared to negative $7.7 million in the prior quarter.  Looking at 2022 performance fee revenue, based on current investment performance, we expect full-year performance fees to be negative in aggregate. US mutual fund performance fees are projected to be approximately negative $60 million if we assume benchmark performance for the rest of 2022.  Based on current investment performance, these negative fees would only be partially offset by performance fees generated from segregated mandates, SICAVs, UK OEICs and investment trusts.  Turning to operating expenses on slide 11. Adjusted operating expenses in the first quarter were $299 million, down 3% from the prior quarter. Adjusted employee compensation, which includes fixed and variable costs, was up 3% compared to the prior quarter, primarily as a result of annual merit increases and seasonally higher payroll and retirement costs, which are partially offset by lower variable costs given the lower pre-bonus profit.  Adjusted LTI was down 10% from the fourth quarter, mostly due to mark-to-market. In the appendix, we've provided the usual table on the expected future amortization of existing grants for you to use in your models.  The adjusted comp to revenue ratio was 42.5%, which is in line with the guidance we've given and less than the 44.2% ratio in the first quarter of last year. For the full year, we anticipate the comp ratio in the low 40s.  Adjusted non-comp operating expenses were down 10% from the prior quarter, primarily from marketing and general and administrative expenses. For 2022, the expectation of non-comp operating expense growth in the low teens remains unchanged.  Finally, our recurring effective tax rate for the first quarter was 26.1%. For the full year, the firm's statutory tax rate is still expected to be in the range of 23% to 25%.  Finally, slide 12 takes a look at our liquidity. Cash and cash equivalents was $782 million as of the 31st of March, a decrease of approximately $324 million, resulting primarily from the payment of annual variable compensation. The first quarter cash position is typically our lowest, given seasonal cash needs.  We returned $207 million to shareholders via the dividend and share buybacks. We purchased $1.3 million of shares of our stock for $43 million and we paid $64 million in dividends. And as I previously mentioned, the board has approved a 3% increase in the quarterly dividends to $0.39 per share. This increase aligns with our capital philosophy of paying a progressive dividend that grows with profits. Finally, the board has approved an accretive share buyback authorization of $200 million to be completed prior to 2023 AGM. I look forward to Janus Henderson continuing on its journey of organic growth in Q2 and by being joined by Ali in our Q2 earnings call in late July.  Now I'll open things up Q&A. Operator?
Operator: [Operator Instructions]. Our first question today comes from Dan Fannon, Jefferies. 
Daniel Fannon: I just wanted to follow-up on flows. You mentioned a broad range of opportunities within kind of the institutional pipeline. So, just hoping you could expand upon that. And then, if you could clarify just the timing of the redemptions, just so I understand that. I think @ billion has already left in April on the total of $7.3 billion. But the timing of the property fund, and I guess, just in general, in the context of consultant asset allocator and kind of intermediary conversations, how has the change within the ranks of the management team at Janus, as well as having an activist potentially impacted those conversations, if at all? So, sorry for the multi-part question, but wanted to get some broader context.
Roger Thompson: That, hopefully, covers quite a few things. So, let me take them sort of one at a time and see where we get to. So, the first one is the buy and maintain mandate in the UK. As I said, that's a $7.3 billion mandate. It's very low fee. But that will come out in the course of – all during 2022. Just over $2 billion came out in April. And we're working with the clients as they insource that money, but we don't have the full details of when the remainder will come out. So that will be $7 billion coming out over the remaining three quarters of the year, starting with $2 billion in April.  The real estate transaction we completed or rather exchanged last week, so very pleasing to get that done. It's at a small premium to the NAV. So, given the ongoing changes and review by the FCA of open ended – real estate, open ended funds, we believe that is a very good outcome for investors. That will happen over the next month. So, again, that will be within our Q2 results.  In terms of the pipeline, there are a number of things in there that take a little bit longer to fund them than we wanted or expected. There are things we are working through with clients. Mainly on clients, the ability or the needs of clients to be able to do their reporting and regulatory return. So, some of these things are quite complicated and taking a little bit longer than originally thought by the client. We're pleased to be working through those.  It's a range of things. And it's a range of fee rates as well. So, again, we've got some higher fee product that it's lower assets and some bigger things that that's at lower fee.  I've been talking about this pipeline for a number of quarters now. And we've got to deliver it. So, that's something that I recognize hasn't come through in the last quarters. But it will be bumpy in this outflow from buy and maintain, will sort of dominate a flow picture in institutional. But again, it's more important to look at revenues rather than flows. And we'll see that coming through over the next few quarters.  And then, finally, in terms of the feedback we've received on Ali's arrival has been sort of universally positive, both internally and externally. He's a very well respected investment professional, with a background as an analyst, as portfolio manager and then at strategy and CFO. Those who've worked with him have very strong feedback – in either directly working with him or on a professional capacity across different firms. And Ali joins us next month, as I said. So, that's going to be very soon. Client feedback has been very positive so far.  So I don't think there's anything that's changed in terms of our outlook. If anything, I'd say, hopefully, it's going to be positive rather than negative in terms of client reaction. And we look forward to getting Ali on the road seeing shareholders, analysts, clients and staff as soon as soon as he joins, as I said, in late June.  You mentioned Trian. There's no change there. So, Trian have been invested in Janus Henderson for almost two years now. So, it's an ongoing relationship, which, again, I think that's settled down quite nicely.
Operator: Our next question is from Liz Miliatis from Jarden.
Elizabeth Miliatis: I want to start on the cost management and capital management side of things. Obviously, you've maintained your guidance on the plus side and have announced another buyback. I suppose it is early days with Ali. He hasn't officially landed yet, but is there any sort of anticipation that he might sort of reassess those targets at all? Or do you think that it might be quite a steady shift going forward?
Roger Thompson: I think you asked two quite separate things. One is around our capital management philosophy, which I think is settled in terms of a regular progressive dividend, which we've increased by $0.01 this quarter and a consistent buyback if we have true excess cash. So, the buyback at $200 million that we've announced – $200 million that we've announced today, it's pretty consistent with what we've done over the prior year, just a little bit more last year. So that's a consistent philosophy around capital. But, again, that's really a bold decision. But, again, hopefully, that's well understood in terms of capital. In terms of costs, we're going to have to look at the year as it plays out. We've been investing in the business. We're excited about the future. We always manage the business as tightly as we can from a cost point of view. I am guiding to higher non-comp costs this year. Again, as we talked about in Q1 results, that's a combination of three things. That is a return to normal in areas such as travel and entertainment and marketing, which were low in 2020 and 2021; a return to normal and maximizing some of the opportunities we've got by increasing marketing spend, again, that was low in 2020 and 2021 with COVID.  We have a number of major infrastructure upgrades that we've been working on for the last few years. Couple of those will go live in 2022, which is great news. That means we start to amortize the work that's been done over the last couple of years. And then, there is inflation, obviously, in the in the system.  So we will continue to manage that. There are there dials to turn and we'll continue to be as efficient as we can. But I guess we'll come back to you in Q2 results should any of that guidance change.
Elizabeth Miliatis: Just quickly, also on the investment gains and losses, obviously, it's really hard to sort of help us out with that. But that number tends to sort of bounce around quite significantly, just in relation to the data. Is there any way to think about that in a better way to get that number right because it does sort of have a fairly meaningful impact to the bottom line.
Roger Thompson: There's an accounting piece in there. So, you've got to look at it net of NCI. So, the non-controlling interest part. So, you net those two numbers. We have to show it gross. So, in a quarter where seed and, therefore, consolidated seed has gone down with the market, there will be losses, but those losses are offset in NCI. That's the first piece. And, obviously, we don't hedge the client positions which we need to consolidate in that line. That this quarter still results in a in a relatively significant loss. Sorry, we hedge what we what we can efficiently in our seed book. But there are certain feeds and instruments that we don't hedge, and we don't hedge – or we can't hedge as efficiently as we'd like. So, this quarter, there is a net seed loss of around $10 million, which is a bigger gross number, offset by a hedge, but the hedge is not perfect. So we'll continue to look at that number. I'd like to be as little as possible. It obviously includes alpha as well. But where we've got things like hedge funds, they are unhedged in terms of those results. So, hopefully, that helps, Liz. We're happy to take you through that offline as well.
Operator: Our next question comes from Ken Worthington, J.P. Morgan.
Kenneth Worthington: Maybe following up on Dan's question on the institutional business. So, how do we think about the institutional franchise? I recall that Intech was the single biggest part of the US institutional business. So, does that divestiture impact your broader franchise overall? You're more scaled with Intech. You're now less scaled without Intech. You had big outflows this quarter, even without the balanced one, there's bigger redemptions to come. I assume that $7.3 billion is also bucketed as institutional. So what does this shrinkage mean for the outlook for that franchise? And can you further flush out the steps that you're taking to stabilize the platform and really right the ship?
Roger Thompson: First of all, our institutional business ex-Intech is $82 billion. So, it's a sizable book and that is global, and it's well diversified. It is an area that we've been investing in, making sure that we've got the right products, the right people and with them – and building the client relationships. So, we've talked a little bit in the past about the investments we've made. New consultant relations, seeing which is working really well. Again, these things do take time. But the team underneath Richard Graham, who joined last year, I think, really establishing much better relationships with consultants globally. The institutional team in the US, we've upgraded that team over the last couple of years.  And we've got products around the world, which we believe is of interest to institutions. So, we are having a lot of good conversations. I talked a little bit about the pipeline. And like I say, I realize that I've been talking about that for the last few quarters and we need to deliver that. So, no, that's obviously the intention there. And we believe we're seeing some good results.  You're right. The large buy and maintain mandate that I just told you about is in the institutional book. So, that would be a sort of headline loss from an AUM point of view. Again, now I'd continue to point you towards revenue rather than just assets. Some of the businesses that is in that pipeline is significantly higher fee product. It's a mix, we'd like to say. We've got some bigger mandates which we hope and expect to fund at the lower end. And we've got some business, which, again, we hope and expect to fund at higher fee. But, no, the institutional business is very important to us. It's been successful. We've seen success in various areas. Our Australia institutional business has done very well over the last couple of years. We've got a growing business in the Middle East. We've got some great relationships on the Continental Europe. We have an established UK business.  The US is where we've consistently – both before the merger and post the merger, our institutional business is sort of too small for the size of Janus Henderson. And that's something – as I say, we've made a number of investments there and we'll continue to push there and hope and expect that to continue to grow over time.
Kenneth Worthington: Just maybe to follow-up, to call it out, I don't think the results were all that impressive and the outlook is sort of more challenging here. You've got a 20% owner. I assume the pressure is going to be going up meaningfully. You have plenty of cash. You announced the $200 million authorization. You sort of called out that that's sort of the authorization level that you guys have been looking at for the last couple of years. Given the weakness in the business and the downturn that we're seeing in the stock, I'm sure you anticipated that, why not go bigger than the $200 million authorization? You've got plenty of cash, you've got a clean balance sheet. It would seem like you're in a very powerful position to take advantage of sort of near-term inefficiencies. Why not substantially bigger than the authorization that was made here?
Roger Thompson: We are conservative in our balance sheet. We recognize that. And that is deliberately cautious. We see opportunities for the business going forwards. We want to maintain that ability to act. So, we're not looking to leverage up the balance sheet in any way. As you've seen in this quarter, there is a lot of beta in this industry and Janus Henderson is a high beta stock. So, we don't want to be able to over leverage.  The $200 million authorization is something that we could work through. And should we confident we've got through excess cash going forward, we can add to that in the future. That doesn't mean that's the only thing we do this year. Equally, we may find other opportunities over the year and spend the money the other way. But our expectation would be to do that $200 million buyback.  And when you look at that, the increased dividends and the $200 million buyback would represent around the vast majority of this year's earnings. So, our expectation is to pay out this year's earnings. You're right, we're well covered on our starting position. But like I say, that is a deliberately conservative policy.
Operator: Next question comes from Alexander Blostein from Goldman Sachs. 
Alexander Blostein: A little bit of a bigger picture question as well. I'm not sure if you're able to answer before Ali ultimately starts. But how do you think the firm's strategy could broadly change over the next year or so. What will be the same, what will be different? And I guess, what are sort of kind of like the near term plans for the company in the interim as he joins and kind of gets his feet wet in terms of what he wants to do?
Roger Thompson: That will evolve over time. What will not change is our focus on delivering consistently strong investment performance and client service for clients. So, that is the bedrock of what we live to do.  We've made a lot of progress over five years in delivering a combined business and an improved chassis, if you like, on the car. We've made, what we would say, some real tangible progress there. But I accept it's not really come through yet in the financial results. So, obviously, we're going to be working closely, and particularly me working closely with Ali as to what that looks like and how that evolves over time. Strategy that we've been on has been the right strategy, but no doubt that will evolve with a new CEO onboard. But I think that's probably an evolution rather than a revolution.  Ali joins in a month. He's met quite a few people over the last couple of months just to say hello. That just gives him a great start and be able to be off and running as quickly as he can when he gets here as opposed to putting names to faces. So, I think he's off to a great start. He's gone down very well with the people he's met. But, obviously, we'll come back to you over the course of the next few earnings calls as we evolve the strategy and push the business forward.
Alexander Blostein: A quick question just on the numbers. The management fee rate margin, the way you guys describe it, I think it was 46.8 bps, down a little bit, like due to mix. A number of moving pieces happening here, obviously, with Intech out of the run rate, this large insurance mandate, albeit it sounds like it's a very low fee rate business, but also equity markets are coming down and it's a high business. So, any way to frame the jumping off point for the second quarter on this net management fee margin?
Roger Thompson: Ex-Intech, the jump off point is 49.4 basis points. So, as you say, it's higher ex-Intech. And you've got all the pieces there, Alex. Our fee rate will be influenced by equity markets, given that equity fees are higher. So, should equity markets continue to fall, then our fee rate will come down a little bit with that just because of mix. The buy and maintain mandate, yes, as I said, it's large assets with very low fee, so that will actually improve the fee rates.  And we're starting to see some improvements coming through. We've seen some sizable outflows in US mid and SMID over the last couple of years, as you've seen. The performance of particularly the enterprise fund, which is the mid cap fund has been excellent, really excellent over the last – I guess, all of 2021 and the first four months of this year. And we're starting to see those flows turn again. That's high fee business. So that's an important one to come back.  The European intermediary business, also high fee business. That did slow in Q1, as I said. Gross flows slowed on the back of a multitude of reasons, as I said. That's an industry phenomenon. Should that continue, then we don't get the kicker from a higher fee European intermediary business. But, again, that's been a real strength over the last year or two. So, hopefully, things settle down and we start to see positive flows again coming out of European intermediary. 
Operator: Our next question comes from Robert Lee from KBW. 
Robert Lee: Maybe just a little bit on – first of all, on your expense guidance and the comp ratio. So, when we think about this quarter, year-to-date, quarter-to-date returns, the comp ratio guidance still in that kind of low 40s range. How much flexibility do you really have? Obviously, there's variable comp related to profitability and performance. But should we really be expecting that the pressure just stays that we've had so far that that comp ratio is going to – at least will be towards the high end of that low 40s? Or should we really think that this continues? It's going to move a bit more towards mid-40s? Just trying to – how you guys think about the real flexibility you have in management?
Roger Thompson: You're right. A significant part of our comp cost is variable. That 40% of our total cost base is variable comp. So, that naturally flexes. So, that piece sort of looks after itself.  In Q1, you have to remember that there are some lumpy pieces, US payroll taxes, stock vesting. The key one is with a higher fixed cost base and that works itself through in the other three quarters. So, I think we're 44% last year, we're at 42% this year. So the guidance of 42% comp ratio, given where we are with markets and what I've talked about, I'm pretty confident with that as a comp ratio. We'll continue to manage the business tightly. So, that comp ratio does stay.  On non-comp, as I said, Q1 was the other way around. Q1 was actually a relatively light quarter. We do expect to see increased non-comp in the remaining three quarters. But, again, we will be reviewing that and being careful with it. But there are things that we want and expect to come through in the remaining three quarters.
Operator: Our next question is from Ed Henning at CLSA. 
Ed Henning: Just first one, look, you've talked about a strong balance sheet today. You've also talked about reducing scale of the institutional business. Can you just talk about the appetite for acquisitions to accelerate growth and gain some more scale in your institutional business? I know you've obviously been growing ETFs and growing organically, but just interested to start with just about acquisition appetite.
Roger Thompson: I guess the first piece is, the most important thing for us is maximizing the value of what we've put together and what we've been building over the last five years. And we haven't fully done that obviously yet. We are a truly global firm and have the right geographic footprint in all client channels, but I guess you were asking specifically around the institutional channel. We've got an institutional business, which is established around the world and we've been investing in that over the last five years.  We're not short of capabilities or products. And we've got some really strong performing capabilities and products. And we've talked about this in Q3, I think it was. There are areas that we continue to look at. And you shouldn't be too surprised if, over time, we do more in those areas, but they're more in investment capabilities rather than in distribution. So, we've talked about potentially different – some other areas in fixed income that we're not fully in yet. We've talked about moving into some areas around – in alts.  But, again, as Alex asked earlier, I think, that's all going to be part of an ongoing strategy. I think the most important thing for now is it's very much business as usual. We're always looking at things. We look at a lot of opportunities. There are very few that are very, very good. And we only want to do the very, very good ones. So, it's business as usual. We're looking at things as we always are now. And we'll continue to look at them when Ali joins in a month. But like I say, the most important thing is maximizing the value of what we've got and we'll continue on that road. 
Ed Henning: And just some mechanical questions just on the numbers. You talked about performance fees likely down year-on-year. Will that likely just trend through each quarter? Or is there a lump that potentially comes through in performance fees if its status quo stays as is?
Roger Thompson: We had a very strong Q2 last year. So, again, it's difficult to project forward performance. It, obviously, depends on what performance is in the time period. But given what we see today, if we cut back today, Q2 will be a significantly weaker performance fee quarter than we had last year.  There's two pieces in that. The first is the fulcrum fees we have on the US mutual funds. And as I said, we've got a couple of – again, you can calculate this straight through and we can talk you through it. But we would expect that to be – given current performance, if it was zero alpha between now and the end of the year, the fulcrum fees will be $60 million negative. And as I say, again, just looking at what we see now in terms of performance fees, again, if we cut them today, the positive performance fees from our segregated accounts, from our SICAVs which were very strong in Q2 last year, from our absolute term funds, from our OEICS would not fully offset that $60 million.  So, again, it'll be what it'll be. Hopefully, performance is very strong over the rest of the year and those numbers are a little bit better. But that's what we can see given performance of where we are today and just saying there's no alpha between now and the end of the year.
Ed Henning: And that's saying absolute number of – the dollar performance fees is negative, not just down year-on-year?
Roger Thompson: Correct.
Operator: Our next question comes from Patrick Davitt from Autonomous Research. 
Patrick Davitt: One more on the expense. As we look kind of beyond this year, is there an opportunity for that to then step down when some of these big infrastructure build-outs are finished? Or is that kind of the new run rate once we get to the end of the year?
Roger Thompson: You always want that. There are things we're certainly turning off. So, as we modernize our infrastructure, there are systems that we're able to turn off and there are savings there. But the truth is, we're continuing to – there is more you need. There is more data. There is more cloud costs. This is really around leverage. As I say, we will continue to try and squeeze where we can and be as efficient as where we can, turn things off, et cetera. But I think really, we're talking about this being the run rate, and therefore, that's why it's so critical for us to grow this business organically because this is about leverage.
Patrick Davitt: In the $82 billion institutional number you gave, are there a lot of these kinds of $5 billion plus mandates in that number, just trying to frame the risk of this, if it becomes a more common theme?
Roger Thompson: No, that's probably one of the biggest ones. I think we do have a sort of barbelled institutional business. We have a number of larger clients. This has been one of them. Like I say, probably one of the biggest. And we have a very long tail of small mandates. One of the things we're looking at is, is trying to make sure that we're filling the piece in the middle as well. But, yeah, this will be one of the biggest. There's probably a couple of others in the five category, but with a very long tail.
Operator: Our next question comes from Nigel Pittaway from Citi.
Nigel Pittaway: First of all, maybe just delving a little bit more into SMID and mid, you partly answered this already. But, obviously, what was the quantum of outflows from those two strategies in the first quarter? And with the sort of mid cap turning positive in the month of March, how confident are you now that those sort of flows are going to improve because it's something you've said before, but, obviously, it's taking a while? So, can we just sort of maybe delve into sort of the level of confidence as to where you're at with those two strategies?
Roger Thompson: We've seen some sizable outflows over the last five quarters. I think when those outflows started at the beginning of beginning of 2021 probably. I think in Q1, it's about $2 billion of outflows across mid and SMID. And like I say, that was a tough performance period in 2020. The team have made that back and a bit more, particularly in enterprise. The numbers are very strong. And we're now into positive territory over all time periods.  So, we're starting to have some – you're always still concerned, but that is a great franchise. And it's starting to look really interesting for clients. So, you've got to flow the outflows before you get to inflows. You've got to go to zero. That's something that hopefully will happen in the short run. But the team are working hard on that, both the client relationship teams, as well as Brian and Jonathan and the teams working on the investment side of that, who, like I say, have delivered some fantastic numbers over the last five quarters. So, we're pretty confident. That's been a painful outflow over the last year or so. But I think we're seeing light at the end of the tunnel.
Nigel Pittaway: It's been a common topic over the Q&A. But just back on the expenses, obviously, you've got lower expenses first quarter. So, as you've highlighted, there's a fair bit of catch up in the last three quarters. Obviously, there's sort of mild average AUM headwinds and the markets are down a fair bit already in 2Q. So, at what point do you actually have to reassess that and say, we really can't invest so much this year, given what's happening on the revenue line?
Roger Thompson: There are two sides of investment. There are things that we really need to do and want to do to to ensure that we've got the best business going forward. And then there are things which are a little bit more discretionary. The discretionary pieces are things that we'll look at much quicker. Are there opportunities for us to be to be winning business? If the market environment is such that the opportunities are less, then we will spend less money in those discretionary pieces. But we take a long term view of the business. So, a short term market change, we will look at things tactically. If we believe that this was very strategically longer term, then we'd be taking a longer and deeper look.
W:
Operator: Our next question is from Brian Bedell from Deutsche Bank.
Brian Bedell: Maybe just a couple questions. I'll try to keep it on the quicker side. Just back on the conversations with distribution partners, your intermediary sales did hold up really well in Q1. So, just trying to get a sense of sort of their risk to that sales numbers as we move into 2Q ahead of when Ali comes on board? And maybe what are those conversations? How are those conversations going? Or do you think it might be just maybe, coming into 2Q, we may have just a headwind on the growth to value rotation in the market generally.
Roger Thompson: The conversations with clients are very good. The depth of relationship is really strong, particularly around our key and larger clients, and the sort of focus list of products. So I don't think there's any – there's no concerns there. As you say, we're pretty pleased. This is a large outflow quarter. It's painful. But there are areas where we're relatively pleased, our fixed income franchise being flat in the first quarter is pretty strong. Europe has slowed down, but it's gross flows and that's the market impact. If we can turn around US mid and SMID, then that will be a strong answer going forward.  So, I think the conversations we're having with clients about the firm and Ali joining are actually all very positive and gives us opportunity to talk to people. And we're starting to see some conversations, which were defensive conversations. You're concerned about losing something. And that conversation ends up with more money coming through the door. So, again, I'm picking the positives, obviously, there. As I say, it's been a painful quarter. But we're continuing talking to our clients. That's the most important thing. And delivering investment performance.  I don't think there's any change. But, obviously, we are very cognizant of the market environment and investor sentiment. That obviously has a significant impact on our ability to deliver positive flows.
Brian Bedell: Maybe just on growth initiatives, you mentioned, obviously, the active ETF franchises continues to ramp up over $5 billion. Can you talk a little bit about – I know you've also been growing your sustainable products. Can you just give us an update on the ESG dedicated product lineup and then any other organic growth initiatives? As you said, everything is sort of – continue the same playbook, obviously, as we wait for Ali to join. But maybe if you can just talk about any other major organic product development growth initiatives, as well as the sustainable products.
Roger Thompson: On the second piece first we launched a lot of product in 2021. So, as that matures, that's the real growth opportunities for 2022 is things we launched in 2021. So, we launched a suite of sustainable ETFs. We launched things like AAA and now a BBB CLO. The AAA is now $1.1 billion, raised $800 million in the first quarter. BBB launched in March, something like that, in the Q1. It's seeing inflow. So, there's some good areas there. We'll continue to look at that product pipeline. There are things we'd like to continue to do in in 2022. I think we launched 21 new products in 2021. So, we've got a lot of things which are starting to mature.  On sustainable, we're doing a lot of work there. We're investing pretty heavily. And our investment team, the core group around ESG has gone from 4 people to 15. In terms of products, that's still driven by Europe, although we are seeing some – regulatory change in ESG is probably the fastest area of change at the moment, and you're working through some uncertain regulatory environments. So, level two pieces in Europe, which will need to be embedded by the end of the year. The actual rules are not going to come out until the end of June. So, there's a lot of work going on.  We've launched a number of Article 8 and Article 9 funds in Europe and expect to launch or convert some more over the over the remainder of the year. About 55% of our SICAVs raised in Luxembourg is now either Article 8 and Article 9.  Again, we've been pretty cautious on this, as you'd expect from Janus Henderson. We want to do this right and make sure that we've got the infrastructure and the reporting behind it to make sure that we're really confident. And exactly what we say we're doing, we are doing. And we have seen a couple of people being caught out on that. And I think the rules will continue to move and we want to make sure that we're doing the right thing.  So, we're being cautious, but we're making some pretty significant investment in the teams and in the data and in the systems and reporting to make sure that our sustainable products are there.  It's obviously a growth area. We've got a very long-term track record in that. We've got a global sustainable product, which celebrated its 30th anniversary last year, Global Sustainable Equity. We launched that as a US fund over the last couple of years and in Australia last year. It's now about $3.8 billion. That's doubled over the last 18 months probably. And we see that obviously is a specific strategy around ESG. But we're looking to make sure that we're doing the right thing across a broader range as well.
Operator: Our final question today comes from John Dunn from Evercore.
John Dunn: Maybe just a quick check in on the strategy for growing alts specifically. Earlier, you talked about maybe some inorganic ways to do it. So, maybe just potential areas of interest and maybe how the competitive environment for winning those is currently?
Roger Thompson: There are certainly things that we do. So, we're seeing some real success in a couple of areas I'd call out. So, our biotech innovation hedge fund is growing pretty significantly over the last year or so since it was launched. Our multi-strat product is one of those ones, which is not going to offset in AUM terms that buy and maintain mandate I told you about, but in revenue terms, it's a very different pricing point. And so, winning $50 million and $100 million tickets in multi-strat is something that moves the dial on the revenue side.  So, we've got alt capabilities. We've got to a long tenured and successful, absolute return fund range in in Europe as well that is continuing to do what it's supposed to do. And again, we hope and expect that to gather assets over time. So, we've got alts business. But there are areas that we continue to look at where we may add to that over time. So, nothing specific to talk about here. We're not about to close anything. But there's always interesting things to look at, particularly probably in the less liquid end of fixed income. 
Roger Thompson: Okay. Well, thank you all for your time today and for the questions. If there's any follow-ups, then please do let me or the IR team know. Very good to talk to you today. I very much look forward to doing this call with you with Ali in three months' time. Thank you. 
Operator: This concludes today's conference call. Thank you all very much for joining. You may now disconnect.